Operator: Good morning, everyone. On the call today is Bill Jasper, Chairman and Chief Executive Officer; Roger Berrier, President and Chief Operating Officer; and Sean Goodman, Vice President and Chief Financial Officer. During this call, management will be referencing a webcast presentation that can be found at unifi.com. The presentation can be accessed by clicking the second quarter conference call link found on the Unifi homepage. Management advises you that certain statements included on today's call will be forward-looking statements within the meaning of Federal Securities Laws. Management cautions that these statements are based on current expectations, estimates and/or projections about the markets in which the company operates. These statements are not guarantees of future performance and involve certain risks that are difficult to predict. Actual outcomes and results may differ materially from what is expressed, forecasted or implied by these statements. You are directed to the disclosures filed with the SEC in the Company's Form 10-Qs and Form 10-Ks regarding various factors that may impact these results. Also, please be advised that certain non-GAAP financial measures such as adjusted EBITDA, adjusted working capital, adjusted net income and adjusted EPS will be discussed on this call and non-GAAP reconciliations can be found in the schedules to the webcast presentation. I will now turn the call over to Roger Berrier, who will provide you with an overview of the Company's markets, raw material trends and other business updates.
Roger Berrier: Thanks, Kelly, and good morning, everyone. The retail indicators impacting our core business once again showed year-over-year improvement with retail sales increases of 0.6% in apparel, despite the impact of warm weather on winter apparel and increases of 6% in furnishings and 6.5% in automotive. In looking at the Apparel segment, demand for the company’s products continues to be driven by the fact that category growth has been coming from the production of synthetic apparel in the North and Central American regions, which grew approximately 5% in calendar year 2015 versus cotton apparel production, which remained flat. Looking at the company’s results for the December quarter, the improvements we saw in our domestic polyester and nylon businesses were offset by the negative impact of the currency devaluation and tough economic conditions in Brazil, continued pressure from low price imports in our domestic business and a loss from our equity affiliate Parkdale America. Domestically, our core polyester texturing business performed well in the quarter as demand for our premier value added yarns remained strong and our synthetic apparel production in the North and Central American regions continues to increase at an estimated annual rate of 5%. Our portfolio of PVA products continues to grow between 10% and 15% per year and will represent approximately one-third of our sales revenues in fiscal 2016. The recent investments that we've made to increase capacity in the region have helped support the regional growth and has improved our ability to deliver on our mix enrichment strategy. The lower end of our commodity business continues to be challenged by some of the lowest import prices that we have seen in years. However, only about 10% to 15% of our business competes head to head with Asian imports. Prices for our raw materials declined in the December quarter as the price of oil fell from an average of $46 per barrel at the start of the quarter to $38 at the end. The company saw a slight recovery in margins in the December quarter compared to the September quarter as the previous quarter was negatively impacted by higher price inventory, stemming from raw material price increases that occurred in our fourth fiscal quarter of 2015. We anticipate prices for our raw materials to decrease slightly in the upcoming March quarter, which should provide a short term improvement in margins in our third fiscal quarter before the impact of price adjustments to customers we will need to make to maintain our position in the market. Turning to our international business, the strength of our domestic business is offset by the results from our operations in Brazil, which performed slightly below expectations for the December quarter on a local currency basis, as the overall consumption rate for textiles is down as a result of the economic conditions in the country. Brazil remains highly sensitive to imports and the significant amount of low price imported yarn from Asia has continued to drive declines in our volume at the low end of the market. On the other hand, our focus on mix enrichment, manufacturing process control and cost reduction efforts that helped insulate our Brazil operations from some of these import pressures. And we see opportunities to grow market share in Brazil based on our ability to gain business from smaller competitors that maybe unable to survive the challenging economic environment. This should present some opportunities in the upcoming quarters as we are well positioned as a supplier of innovative, value added products in Brazil. And we are outperforming our competitors in the market, thanks to the strong management team we have in place there. The biggest challenge for us and for anyone doing business in Brazil is the devaluation of the Brazilian real, which declined more than 30% against the U.S. dollar in 2015. Sean will provide more information on the impact of the currency devaluation on our results for the quarter in his review of the financials. Looking at China and Asia, we are very pleased with the ongoing success of our strategies in the region. The company performed above expectations in China in the December quarter, as we continued to grow our volume with a major global customer that transitioned a substantial REPREVE program to China from the U.S. Textile utilization rates remained extremely low in China, which has resulted in manufactures focusing on producing cheap commodity yarns and fabrics for exports. Our commitment to producing premier value added yarns in China has help to differentiate and insulate the company and remains the foundation of our value proposition to customers that choose to do business in this region. We are also in the process of opening an office in Sri Lanka, which will be finalized in the next few months and will be known as Unifi Textiles Colombo Pvt. Ltd. Our presence there will help to grow the global supply chain for REPREVE and will add to the collaborations that we now have with Cortex in Turkey and Sun Chemical in Taiwan. We expect our first commercial order from Unifi Textiles Colombo sometime in our fourth fiscal quarter and it will likely be for a REPREVE based product that will be a part of the anticipated growth plans for a major brand that we are working with. However, we would expect that it will take two to three years to build to a significant level of business in these new areas. Lastly in Asia, we will continue to explore opportunities for further growth in the global supply chain for REPREVE and other PVA products in Vietnam. Vietnam is fast becoming a major apparel supplier to the Europe and the U.S. and we want to be sure we have REPREVE and our other PVA yarns available to supply fabric and apparel producers in the region. We are currently exploring the products and capacities that will be required to supply few customers that we are already in discussions with. Turning to CapEx, two years ago we laid out a three year plan for strategic capital investments to support the growth of the company. Since that time we have invested in additional equipment to increase our texturing capacity to better serve the growing demand for synthetic yarns in the CAFTA region. We installed additional equipment to add flexibility to support our mix enrichment strategy. We completed the installation of our 1-megawatt solar farm in the Yadkinville, North Carolina. We are investing in a plastic bottle processing operation that will be capable of producing 75 million pounds of clear polyester bottle flake per year. and we are in the process of expanding the capacity of our REPREVE Recycling Center again to produce 100 million pounds of recycling material from our current capacity of 72 million pounds. These last two investments will provide us with a state-of-the-art bottle processing facility and one of the most advanced recycling plants in the world. In addition to these investments we are exploring opportunities to further increase our texturing and PVA capacities by approximately 10% to support the projected long term demand for synthetic yarns in the CAFTA regions, which continues to grow at around 5% annually. The supply chain in the CAFTA region has been very stable and has been the focus of a lot of investment over the past few years. And many brands and retailers have recognized the benefits to [earn] from this stability in these investments by making the CAFTA region a more important part of their overall sourcing strategy. We continue to drive awareness in demand for REPREVE through our marketing activities. The success that we have had with REPREVE has led to increase willingness by brands and retailers to co-brand with us and to call out REPREVE on product hind tags and labels. In fact since 2012 we have provided more than 50 million hind tags or labels to our partners to help co-brand REPREVE at the point of sale. Our development work with customers continues to be very strong and there are several exciting new programs that will be launched over the next 12 months that will feature REPREVE and our other PVA products. Examples of some of these programs include a boys and girls jeans program by Levi that features both REPREVE and [SoleKick], a line of [indiscernible] in the Sports Authority that will feature a custom hind tag in in-store displays in their 450 locations and a nationwide denim program with Abercrombie & Fitch that will be available in their nearly 800 stores in the U.S. Also feature REPREVE in a new backpack program that will be available this summer. Based on this success and the future opportunities, we have to continue to grow our REPREVE volumes, we'll continue to invest in strategic marketing opportunities and increase these efforts. At this time, I would like to introduce Sean Goodman, our Vice President and Chief Financial Officer. Sean, joined Unifi earlier this month and has hit the ground running and we're excited to have him on our team. Sean?
Sean Goodman: Thank you, Roger and good morning, everyone. Before discussing the details within our presentation, I would like to provide an overview of the financial impact of the performance of Parkdale America and devaluation of the Brazilian real relative to the U.S. dollar, as these two items noted by Roger had a significant impact on our results. Regarding Parkdale America, GAAP earnings per share for the quarter was impacted by Parkdale recording a loss resulting in a decrease in GAAP earnings per share of almost $0.15 compared to the prior period. Similarly, in the year-to-date period, GAAP earnings per share from Parkdale was lower by almost $0.20 compared to the prior period. Parkdale's performance has been adversely impacted by lower December sales volumes due to inventory adjustments in the supply chain, lower margins, higher depreciation expenses from recent expansions and lower EAP income, but that loss of Parkdale results included a bargain purchase gain of which the company's share was $1.5 million. Turning to the Brazilian operations within our international business segment, devaluation of the Brazilian real relative to the U.S. dollar adversely impacted our result. And for the quarterly comparison, Brazilian reserve currency devaluation drove declines in net sales of around $9 million, pretax income of approximately $800,000 and net income of approximately $600,000 or $0.03 per share. And for the year-to-date comparison, Brazil's currency devaluation drove declines in net sale of around $19 million and pretax income of approximately $1.6 million and net income of approximately $1.2 million or almost $0.07 per share. Outside of the impact of Parkdale and the currency devaluation in Brazil, our performance for the second quarter and the six month period was strong driven by the continued success of our premier value added products, growth in China and a solid performance of our regional texturing business. Now turning to the presentation on Slide 3, consolidated pretax income of $8.3 million is $4 million lower than the $12.3 million of pretax income generated during the prior year second quarter. This slide illustrates that outside of the impact of Parkdale, currency devaluation in Brazil and bad debt expense, the company would've achieved an increase in pretax income of $800,000. Slide 4 shows the same information as Slide 3 but this time for the six month period. Consolidated pretax income of $20 million is $3.1 million lower than the $23.1 million of pretax income generated during the prior period. Excluding the noted items, this slide illustrates that the company would've achieved an increase in pretax income of $3.9 million. Turning to Slide 5, we will review the sales and gross profit highlights for the second quarter and the six month period. Overall, the decline in revenue for the second quarter is attributable to currency devaluation and raw material pricing. However, the gross margin percentage remained strong at 14% of sales. For the six month period, the decrease in net sales is again associated with currency devaluation and a decline in raw material prices. This decline is partially offset by continued growth in our underlying operations indicating by the gross margin growth of 60 basis points to 13.4%. Looking at polyester, for the three month and six month period, the polyester segment benefited from an increase in volumes driven by regional texturing demand and growth of PVA products. However, overall sales volumes declined due to raw material price declines noted earlier. The gross profit decline was associated with pricing pressure from low price imports in the commodity portion of our business, partially offset by the continued strong performance of our PVA products. For nylon, gross profit increased for the nylon segment for the three months and six month periods. We are especially pleased with the gross margin increase of 190 basis points achieved in the six month period, driven primarily by improved conversion margins and manufacturing cost efficiencies. The nylon segment continues to perform well, especially considering that we have transitioned certain PVA programs to our Chinese subsidiary within the international segment. Turning to the international segment, overall gross profit decreased for the international segment for both of three month and six month periods, driven by the previously noted currency devaluation. Conversely growth of our Chinese subsidiary continues to be strong and is the result of our PVA efforts. Globally, PVA continues to grow as a proportion of consolidation net sales, reaching over 33% at December, above 30% at the end of June. Turning to Slide 6 and looking at our equity affiliates' highlights. At the end of the quarter, the company had approximately $114 million recorded for investments in unconsolidated affiliates. These investments consisted of our 34% ownership in Parkdale America and our 50% interest in two joint ventures that supply raw materials to our domestic nylon operations. I outlined earlier the significant changes in earnings from our equity affiliates as a result of Parkdale America’s results. Details for Parkdale and our other equity affiliates are presented on this slide for your reference. During the current quarter, we received $1 million in disbursements from our equity affiliates and during the six month period we received $2.9 million. On Slide 7, we show the company's adjusted EBITDA results. For the second quarter, the company is reporting adjusted EBITDA of $15.6 million with an EBITDA margin of 10% down $400,000 compared to $16 million at a margin of 9.7% for the second quarter of last year. The adjusted EBITDA decline can be attributable to the currency situation in Brazil. Excluding the impact of the Brazilian currency devaluation, our adjusted EBITDA would be roughly $600,000 better than prior year. For the six months period, adjusted EBITDA increased $900,000 over the prior year period and excluding the impact of the Brazil currency devaluation, our adjusted EBITDA would be almost $3 million better than the prior year. On Slide 8, we review the company’s reconciliations of GAAP results to adjusted results. The adjustments presented herein tend to exclude certain items which management believes are not indicative of the company’s underlying and ongoing operations. The slide shows the before and after tax impact of certain GAAP transactions or amounts as well as the approximate impact of basic earnings per share. The company is reporting earnings per share of $0.38 for the second quarter, down $0.12 from the prior year period. However, if we normalize for the Brazil currency impact and Parkdale results, the adjusted earnings per share will be approximately $0.15 higher or $0.53 per share which is roughly $0.03 higher than the same period last year. The company is reporting adjusted earnings per share of $0.83 for the six month period, up $0.01 against the prior year. Again if we normalize for the Brazil currency impact and Parkdale results, adjusted earnings per share for the current six month period would be approximately $0.19 higher or $1.02 per share, which is around $0.20 higher than the same period last year. On Slide 9, we review the company’s working capital highlights. The increase in the company’s second quarter adjusted working capital versus the beginning of the fiscal year is primarily due to the other comps payable and accrued expenses for variable compensation, lower raw material costs and the timing of purchases. This is partially offset by lower inventory due to raw material prices and local currency impact, and lower accounts receivable attributable to the holiday shutdown period and also because of currency impact. Turning to Slide 10, showing details for the company’s capital structure. We ended the current period with $136.9 million of total debt and net debt of $117.5 million. Net debt increased approximately $23.4 million from the beginning of the fiscal year, primarily due to growth related capital projects and share repurchases. The capital spending is in line with our previously discussed plans for the regional polyester and recycling businesses. The company’s anticipated total outlay for these capital projects over fiscal years 2016 and 2017 is around $100 million with the expectation that a portion of these projects will be funded with borrowings available under our ABL credit facility. At the end of the quarter, the company’s weighted average interest rate for its outstanding indebtedness was approximately 2.5%, and our total revolver availability and liquidity was $65.1 million and $84.5 million, respectively. Before I turn the call over to Bill, please note that we expect to file our Form 10-Q for the December quarter on or before the filing deadline, which is Friday, February 5th. I would now like to turn the call over to Bill. Thank you.
Bill Jasper: Thanks, Sean and good morning, everyone. Before I begin my comments, I also would like to welcome Sean to the Unifi team. In having someone with Sean's experience, will make him a very valuable addition to the company as we start to strategically look at where we are going to take this company in the next five years to 10 years. I believe the company will look different in five years than it does today just as we looked much different today than we did five years ago and I'm very excited by the contributions I know Sean will make to this effort. Overall, results for the quarter continue to highlight the continued strength of our domestic business and our growth in China. Sales volumes for polyester and nylon grew in the North American region, volume and revenue from our PVA products continue to grow and we had a very good quarter in China both in terms of revenue and earnings. However, these positives as we noted were masked by the impact by the devaluation of Brazilian real and lower polyester raw material pricing had on our revenues as well as the year-over-year earnings decline from Parkdale. Although, our year-over-year results for the quarter were negatively impacted by a small loss from Parkdale America, we anticipate the red ink will be temporary as Parkdale's earnings were partially impacted by a business slowdown in December related to an inventory correction in the supply chain. We expect Parkdale will return to profitability this current quarter. It's important to note that our equity share in Parkdale America has contributed positive annual net income to the company over the past five fiscal years. We are fortunate to have a 34% equity stake in one of the most efficient and well run cotton spinners in the world and the diversity of fiber choices they offer provide the company with a more balanced portfolio. We continue to view them as a valuable part of our company's long-term strategy. Despite the negative impact that currency devaluation in Brazil has had on our results on a U.S. dollar basis, we view the current conditions in Brazil has a potential opportunity for the company over the long-term. We will look to use our strong market position and excellent management team to identify and execute on opportunities to add market share as competitors exit the market due to extremely challenging conditions. When the economy turns around in Brazil as it eventually will, we believe that we will be one of the strongest players in the market, stronger than we are today. Historically, Brazil has been a great performer for the company and it continues to perform well on a local currency basis. We believe the long-term prospects for the company in Brazil are strong, particularly as we capitalize on potential opportunities to grow share. China continues to be a strong performer for us and our presence there gives us the ability to offer our PVA products in a key apparel producing region. We continue to see growth opportunities for our PVA products in China and many customers that we are working with are asking us to have that same model and the same availability of REPREVE and other PVA products in other parts of the world. Expanding the availability of our PVA products in Turkey, Taiwan and now Sri Lanka, allows us to supply our customers anywhere in the world in which they choose to place their programs. So, not only has China been a strong contributor to our results, it has also provided an excellent roadmap for us to follow as we expand the global footprint for our PVA products. Turning to trade legislation, the U.S. completed negotiations on the Trans-Pacific Partnership Trade Agreement with 11 of the Pacific Rim countries in the last quarter of 2015 annual year. This was one of the priorities of the Obama Administration and of course they would like Congress to pass the TPP before he leaves office. However, given the political climate of Washington and this being an election year, we believe the earliest Congress will consider TPP will likely be during the lame duck session in late November or December. Vietnam's inclusion in the agreement was of major concern to the textile industry. Their apparel exports to the U.S. market are growing at a significant rate even at full duty. In light of this, we are pleased that as a result of rigorous and productive consultations of industry leaders with the administration, most textile industry concerns were addressed in the trade pact when eventually implemented, should have little impact on the growth of apparel sourcing from this region for many years. Two of the provisions have greatest importance to Unifi were included in the agreement. A yarn forward rule of origin with few exceptions and a longer duty phase out period for most products that are considered sensitive to our supply chain in this hemisphere. These supervisions should help minimize the impact of this major trade deal and give the industry sufficient time to adapt to the changes. Once all of the TPP countries pass this legislation through their governing bodies and the agreement actually enters into force, we do anticipate increased imports especially from Vietnam. We do believe the majority of Vietnam share gain will come from – will come at the expense of other non-TPP countries now exporting to the U.S. In any case, global competition is not new to this industry and with time to adjust, we expect our investments, innovation and growing premium value added portfolio will be the keys to continuing our earnings growth, despite any challenges down the road. Before I finish, I'd like to thank everyone who attended our Annual Investor Day in December either live or virtually. If you missed the update, I encourage you to go to the Investor Relations tab on our unifi.com website and there you'll find both the transcript and the presentation. The presentation provides updates on our four key business strategies, which are; growing our PVA sales yarn globally, increase in yarns sales in growing regional markets, growing through recycling and sustainability initiatives including REPREVE, polyester, and nylon sales as well as REPREVE renewables, and driving operational excellence by controlling costs and improving flexibility through rigorous and disciplined process improvement and price management. Looking forward, the company expects that adjusted EBITDA for the third quarter of fiscal 2016 will be around $16 million and that adjusted EBITDA will be within the higher $60 million range for the 2016 fiscal year. And with that I’ll turn the call back over to the operator for questions.
Operator: Thank you [Operator Instructions]. Our first question comes from the line of Marco Rodriguez, Stonegate Capital. Your line is open.
Marco Rodriguez: Good morning, guys. Thank you for taking my questions. I was wondering, if you could talk a little bit more about first, obviously you are talking about continued strong growth there and I wonder, if you could kind of help us understand a little bit more, if we are taking a look at that one specific client that has transitioned over there, how was the rest of the business performing in terms of a growth perspective, if you can kind of a little bit about that?
Roger Berrier: This is Roger. I’ll expand a little bit on that question for you. We have been anticipating and working with multiple customers with our PVA platform and programs in China. And as we have been working with one significant customer for about two years, we had an agreement that as they started at program in the U.S. they would move that program over to China. We have been anticipating that move for about six to nine months and has started to really kick in, some in the first quarter but really in the second quarter. So that was part of our projection and plan. We made reference or I made the comment that we were above expectations and that’s because of some other programs that we have been working on in addition to that one customer. We have had several other programs that we have been working on to come across the finish line and we are excited about. So couple those two together we exceeded expectations in China for the first six months.
Marco Rodriguez: Got you. And then in terms of the growth on PVA, I am not sure if I missed this on the call. But what was your total sales in the quarter for PVA if you can kind of give a percentage and how does that kind of compare to last year's quarter and the September quarter?
Roger Berrier: Yes. So we stayed consistent with around a third of our sales revenue tracking on the PVA. And last year it was around 30%, so I think we have grown from roughly 30% to 33% and that’s been consistent through this fiscal year. Not only just the quarter but year-to-date.
Marco Rodriguez: Got you, understood there. And then another kind a housekeeping item here on the Brazilian impact on the real devaluation, what is the average exchange rate you guys saw in the quarter and then if you could also provide what percentage of the international sales were Brazilian?
Bill Jasper: This is Bill, I can answer that. I think the average exchange rate we had during the quarter was about 3.85 real to dollar. And the international percentage of our sales -- is that in these numbers?
Sean Goodman: It's in the slide -- this is Sean, it's in the slide presentation on Page 13. It breaks down in other segments so you can see the international segment there.
Bill Jasper: So the percentage is…
Sean Goodman: Yes. You can see the total sales and then it's broken down between polyester, nylon and international. So you will see that on Page 13 of the presentation.
Marco Rodriguez: Right. Let me rephrase gentlemen. What I was trying to figure out was, of that international revenue which is just at $25 million what was Brazil's total piece of that pie if you will?
Roger Berrier: Yes. I mean we haven't broken out Brazil and China in that international segment in our reporting segments.
Bill Jasper: But I think it's safe to say Brazil is quite a bit larger than China.
Marco Rodriguez: Got you. Okay and then just keeping on the topic of Brazil, you made some comments in regard to obviously there is some negative impact on the low end of the commodity side from competitors and that your expectation is some of the smaller players out there will be leaving here and you expect to kind of gain some market share. Can you talk a little bit about those dynamics there? And what you are kind of seeing at the competitive level compared to these people? And then how do you kind of think through the timeline when that multi-share starts to accrue you guys and how you expect that to impact your revenue growth around the international business going forward?
Bill Jasper: I guess that to kind of put that simply is, about two-thirds of our business there is product that we texture ourselves and that typically goes into more high value, more competitive or areas where we have competitive advantage. The other third of our business we typically buy DTY or textured yarn imported and then we resell it. That's typically a part of our business that's put under pressure by low end commodity imports where other people will be importing it also. Looking at our competitors, many of our competitors do texturing also, but they typically sell into the low end in the market, so that's really where we're expecting to see some competitors have issues because they're typically not making very much money under the best of conditions and we think under these conditions, we're going to start seeing some of that come out. And I would say reasonably and expect to see some of that in the next three months to six months and we're certainly positioned to take some of that share.
Marco Rodriguez: Got it. And I will ask a question and I'll jump back in the queue. You talked a little bit about gross margins doing fairly well here in your expectation, is that that kind of continues in the Q3, but if I heard you correctly, you'll need to make some pricing adjustments in Q4. First-off, did I hear that correctly? And also number two, if you can kind of provide some color in terms of your expectations on the price give back that you expect in Q4?
Roger Berrier: Yes. This is Roger, we did indicate that our raw materials, looks like they're going to continue to decline in the third quarter and going into the fourth quarter. From a market competitive standpoint, we will adjust prices during the third quarter and currently continue to evaluate the raw material, our market position and what our price positions are. So as we are looking at raw materials, we are having to adjust some prices and that will start during the third quarter.
Marco Rodriguez: And so are you expecting a sequential increase in gross margins or relatively flat, assuming your guidance or your expectations?
Roger Berrier: Well, around the commodity business, I would say it's similar to flat. The improvements in gross margins that we've been seeing is coming from the growth of our PVA business and the emphasis that we put on our investments with the recycling center and getting those up and running in that capacity and growing that PVA percentage from 30% to 33%, as we continue that that's certainly lifting the gross margin.
Bill Jasper: I think, this is Bill, I think another way to look at it possibly is when we have raw materials moving like they have over the last few quarters, we tend to see ups and downs in our gross profit driven by that and delays in passing either increases or decreases through, I think. But if you look at it over a longer period of time, our expectation would be that you're going to continue to see growth in our gross margins because of the growth of our PVA products versus some of the lower end products. So I think it's hard to look at it quarter-over-quarter some times, but if you look at the general trend I think you'll find in the past and I think you're going to find going into future that our gross margins are going to continue to grow on a long-term basis because of the growth of PVA.
Marco Rodriguez: Got it. Thanks a lot guys. I appreciate it.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Chris McGinnis with Sidoti & Company. Your line is open.
Chris McGinnis: Good morning. Thanks for taking the questions and nice quarter. So I guess just to maybe just touch on Parkdale a little bit, I know you made some comments. But did you see a dramatic change in business kind of -- I know this happens every once in a while, you have a weak quarter, we found it a little bit more about the business itself. Maybe could you just walk us through, maybe this confidence that comes back or maybe what level you still feel comfortable on an annual basis that could generate for you?
Bill Jasper: This is Bill. I think basically and first of all this is the first red ink quarter we've had for Parkdale in an awful long time and I think that a big part of that was there was some inventory adjusting in the supply chain, so their volumes fell off quite a bit in December. Looking forward, it's difficult to say. Certainly we expect they're going to return to profitability or whether it's the same profitability they had in previous quarters, it's hard to say, but I'm very confident that they are the lowest cost producer of cotton yarns in this region. There is continued growth in this region of apparel production, so I would anticipate they're going to hold their share if not grow it a little bit and continue to do well. But I'm reluctant to give any kind of guidance on Parkdale because I'm not that close to their business, but certainly the projections they've been giving us show that they're returning to profitability. And I've got very little concern about their business going forward.
Chris McGinnis: Can you maybe just walk with the price of raw materials coming down, has that changed? Any kind of conversations you're having with your customers in terms of using the REPREVE or the PVA, maybe to the virgin, does that make sense to you?
Roger Berrier: Yes. This is Roger and we talked a little bit about that in New York at our Annual Investor Day. Certainly we monitor the price of virgin and also with the REPREVE; one thing you keep in mind is REPREVE is fed from industrial waste and also from bottle collection and bottles. So the price of those input ingredients has also decreased. Now they haven't decreased at the same rate as virgin so it has opened up the spread a little more. But we still feel confident that if you look at our REPREVE placements, you look at our REPREVE partners we are able to compete with that small premium of REPREVE versus virgin and continue to drive in growth. We have not seen anything yet that would give us caution or give us any pause to what we see the future of REPREVE being.
Chris McGinnis: And has the competitive landscape changed at all with the China devaluing here, does that concerned you at all maybe in the near term? Then talk a little bit about the competitive landscape, I am just wondering, if you could maybe just share your insights or how you are feeling about kind of the near term aspect for that?
Roger Berrier: Well, it's two-fold. I mean if you look at the exchange rate in China and certainly they are focused on commodities. And they are producing just a lot of commodity product and they are looking all over the world. It's not just the U.S., but it's Brazil, it's Europe. China moved that production all over the world, but it's all commodity type products. When you look at sort of our strategy what we implemented four or five years ago and sort of getting into the innovation and the specialty and certainly our PVA products. All of our business in China is focused on the PVA products, the specialty products, keeps us somewhat insulated from that commodity sector. So while a lot of people are struggling in China today, our business is actually growing because we are playing in that niche market. We are bringing value and premium product to help brands and retailers differentiate. So one of the things that brands and retailers continue to ask for and strive for is, how do they differentiate themselves from their competitor. And they look to Unifi for innovative yarns and develop new fabrics and develop new garments and so we are part of that solution provider. And that’s sort of the way we positioned ourselves and we have been rewarded with some nice programs and the pipeline is still very full in our opinion.
Chris McGinnis: Sure that’s great. And maybe if you...
Bill Jasper: I guess one thing I’ll add, I think Roger made a really good point in his discussion points earlier that, when you look at our business only about 15% of our business actually competes with the low end commodity yarns that are coming into the U.S. I think if you look five years ago that was probably 25% to 30% and my expectation is as we move forward that 15% is going to become less and less also. So I mean part of our strategy is to become less dependent on any yarns that have to complete with these imported Chinese commodity yarns, because they are I mean so credit for us from time to time.
Chris McGinnis: Sure, now it makes sense. Thanks for that color. Lastly I guess just quickly on the guidance of the high 60s in EBITDA, with the forecast for next quarter seems like Q4 is going to be a lot stronger. Can you maybe just walk us through what you are thinking to reach the full year guidance? And was there -- is there something in the back half of the year that is a little bit stronger than what you have been seeing, I guess?
Bill Jasper: Yes, Chris, it is Bill. If you look at the last few years our third quarter tends to be very good quarter. Our fourth quarter tends to be the best quarter of our fiscal year and it certainly was last year and the year before we have the same expectation this year. It tends to be when our volumes are the strongest and we don’t view that being any different this year. So yes, I think if you do the math, you are looking at probably around $19 million or $20 million for the fourth quarter. I am not giving guidance here right now but I am just doing the same math you are doing. And that's kind of consistent with what we have done the last couple of years.
Chris McGinnis: Okay.
Bill Jasper: Maybe we will [shut it].
Chris McGinnis: Right. That was what I was getting to. Pretty decent expectation actually for the quarter. Thank you very much for the time today and again nice quarter.
Operator: Thank you and I am showing no further questions at this time. I would like to turn the call back to the Bill Jasper for closing remarks.
Bill Jasper: Thank you, operator. And thank you all for listening into our call. We are certainly still very optimistic about the second half of this year and very pleased with the way things are going. Thank you.
Operator: Ladies and gentleman, thank you participating in today's conference. This does conclude the program. And you may all disconnect. Everyone have a wonderful day.